Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Liberty Media Corporation 2017 Third Quarter Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded, November 9, 2017. I would now like to turn the conference over to Courtnee Chan, Senior Vice President of Investor Relations. Please go ahead.
Courtnee Chun: Thanks, Hope. Before we begin, we'd like to remind everyone that this call includes certain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including statements about business strategies, market potential, new service and product launches, the completion of the Braves development, the future financial performance of F1 business, future Formula One races, expansion of the Formula One brand and including international expansion, new opportunities for commercial partnerships, including sponsorships, increases in promotion and marketing, improvement of content distribution and expansion in media and other matters that are not historical facts. These forward-looking involve statements risks and uncertainties that could cause actual results to differ materially from those expressed or implied by such statements, including without limitation, possible changes in market acceptance of new products or services, the ability of our businesses to attract and retain customers, competitive issues, regulatory issues and the availability of capital on terms acceptable to Liberty Media. These forward-looking statements speak only as of the date of this call and Liberty Media expressly disclaims any obligation or undertaking to disseminate any updates or revisions to any forward-looking statements contained herein to reflect any change in Liberty Media's expectations with regard thereto or any change in events, conditions or circumstances on which any such statement is based. On today's call, we will discuss certain non-GAAP financial measures, including adjusted OIBDA of Liberty Media and adjusted EBITDA of Sirius XM. The required definitions and reconciliations, Schedules 1, 2, 3 can be found at the end of the earnings press release issued today, which is available on our website. This call also may include certain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 regarding Liberty Broadband. These forward-looking statements involve many risks and uncertainties that could cause actual results to differ materially from those expressed or implied by such statements. These forward-looking statements speak only as of the date of this call and Liberty Broadband expressly disclaims any obligation or undertaking to disseminate any updates or revisions to any forward-looking statements contained herein to reflect any change in Liberty Broadband's expectations with regard thereto or any change in events, conditions or circumstances on which any such statement is based. Now let's introduce Greg Maffei, Liberty's President and CEO.
Greg Maffei: Thank you, Courtnee, and thank you all of you out there in the listening audience. Today, on the call speaking beside myself, we'll have Liberty CFO, Mark Carleton; and Formula One's Chairman and CEO, Chase Carey. During Q&A, we'll also be available to answer questions related to Liberty Broadband. So first, looking at the Formula One Group; we had a wonderful competitive season. During the season we have multiple winning teams, multiple winning drivers and multiple championship leaders. Chase and his team are continuing to do excellent work invigorating the sport to favorable reviews, working now on a longer-term discussions to build exciting, competitive races. I'd also note that we completed an additional secondary offering and currently have an exchange for the remaining exchangeable debt. If fully subscribed, we will complete the sale by all the original F1 selling shareholders. Turning to Live Nation, which also delivered yet another strong earnings report, revenue up 12%; concert tickets was sold in 2017, shows are up 20% through October; operating income is up 5%; and AOI was up 10% for the quarter, Michael and his team at Live Nation are doing an outstanding job. SiriusXM also had a strong quarter. Third quarter revenue was up 8% to $1.4 billion. Third quarter net income rose 42% to $276 million and adjusted EBITDA grew 12% to a quarterly record of $551 million. As of October 23, or ownerships are just below 69%. The Braves finished a successful first season at SunTrust Park. We had meaningful increases in ticket sales, concessions and retail revenues. The remaining Battery Atlanta development is on time and on budget. As you may have read, we are currently working through the process of hiring a new General Manager, and there isn't MLB investigation into certain alleged violations for the Braves that is ongoing. We won't be commenting any further on that investigation until it's complete. Turning over to Liberty Broadband, Charter had a solid quarter. The initial market reaction was over done in our view, but some of that has since abated. We knew when we invested and when the plan was set forth, there will be inconsistent quarters working through the acquisitions of Time Warner and Bright House and the after cycles to all digital with Time Warner Cable and simplified pricing plans were putting in place. Just as it was when Charter was going through the same sort of similar upgrades. There are questions in the market about how the video market will evolve, but we remain confident in the service opportunities created by Charter's excellent broadband connections. I'd also, note that during the quarter, Charter repurchased approximately $4 billion of stock and common units. Now with that, let me turn it over to Mark for more on our financial results.
Mark Carleton: Thank you, Greg. At quarter end, Liberty SiriusXM grew at attributed cash and liquid investments of $160 million, excluding $74 million of cash held directly by SiriusXM. The value with the SiriusXM stock held at Liberty SiriusXM as of 11/8 was $17 billion approximately and there is $250 million in debt against these holdings. The Braves Group had attributed cash and liquid investments of $129 million. Formula One Group had attributed cash and liquid investments of $146 million, excluding $274 million of cash directly held by F1. Formula One Group holds public market securities with a market value of $3.8 billion as of 11/8, with $2.3 billion of attributed debt, excluding the debt at F1. At quarter-end, Liberty SiriusXM Group had attributed principal amount of $7 billion, which includes $6.8 billion of debt directly at SiriusXM. The Braves Group had attributed debt of $585 million and Formula One Group have attributed principle amount of debt of $5.6 billion, which includes $3.3 billion directly at F1. F1's total net debt to covenant ratio is defined in their credit facilities was approximately 6.3x as of September 30 as compared to a maximum allowable leverage ratio at 8.5. We've spoken about it before and we've set a target total net leverage ratio of around 5x to 6x covenant OIBDA, and pay attention to these leverage ratios are for the Formula One business itself, not the Formula One Group. In the quarter, Formula One Group incurred $7 million of corporate level SG&A expense, including stock comp, which excludes an allocated to each of the Liberty SiriusXM and Braves Groups. For the quarter, approximately $13 million of SG&A expense, including stock-based comp, was allocated to the SiriusXM group and approximately $1 million was allocated to the Braves Group. Now I'll turn it back over to Chase Carey to discuss Formula One. Chase, sorry about your Yankees.
Chase Carey: Thank you, Mark. We're winding down our first season under the new ownership and management team. And our most important goal for this year was to give the sport some positive momentum and excitement about the future after a number of years and criticism concern. It's still early days, but we're off to a good start. With our new organization largely in place, we've now begun to pursue the initiatives to enable us to build Formula One to its true potential. Among our key priorities are, first, improve the race. We have groups working with the teams, race teams, and the FIA on cost, on the engine, on aerodynamics and practicing rules. Our goal is to make the racists more competitive, the action even better, the factory even bigger and the business model better for us and the teams. There's broad agreement on the direction of these goals, but there will obviously be different opinions about the details. We do not plan to negotiate in public but to work with the teams to find compromises that ultimately deliver better sports to fans and benefits to all of us. We have the opportunity to take hundreds of millions out of the aggregate cost of this sport and actually deliver a more exciting and dramatic sport. Second, we look to improve the events around the race. In 2018, we will take another step forward in expanding fan engagement at the track through fan zones, exhibitions, expanded hospitality options and other features, while also engaging more host cities to deliver the spectacle of Formula One. Third, we're looking to enhance the race calendar. Our schedule set for 2018, but we have some exciting potential changes for 2019 and 2020. Fourth, expand our sponsorships by engaging with our sponsors on a more larger, more diverse of activation opportunities. Initiatives like regional TV feeds, virtual signage, the expanded rate of activities at events, new digital products and other initiatives all provide more choices to engage sponsors. And we'll take a few years to get our sponsor portfolio to where it should be, but 2018 will be the first step forward, best developed opportunities with digital platforms while continuing to partner with existing TV platforms. We will launch our initial over-the-top product next season, which will be product-targeted at our most passionate fans. We're also extremely excited about the potential for major digital platforms to become new competitors for our content the next few years. Competition in the traditional television arena is a bit of a mixed bag around the world. However, the emergence of these huge digital platforms as competitors can transform the value of our continent, particularly since our unique global content is in their sweet spot. Sixth, we're also pursuing a myriad of opportunities beyond our traditional 10 goals. For example, we recently concluded agreements with -- to expand our merchandising business negotiating with ticket platforms to transform data transform the in that area. And in Abu Dhabi, we concluded inaugural in-game season. We are also moving forward to build the untapped opportunities in the world, two biggest markets, the U.S. and China. Overall, we're still very much in the early stages of executing on our plans pants and investing and building the foundation, but we're increasingly excited about the opportunity to truly transform Formula One over the next three to five years. And with that, I'll turn the call back over to Greg.
Greg Maffei: Thanks, Chase and Mark. We appreciate your continued interest in Liberty Media and look forward to seeing many of you next week on November 16 at our Investor Day. If you need to register, please do not call Courtnee, but do so via the link in our homepage. And with that, operator, I'd like to open it up to question.
Operator: [Operator Instructions] Your first question comes from the line of Vijay Jayant with Evercore ISI.
Vijay Jayant: One for Chase and one for Greg; obviously, chase, you're doing a lot of things to improve the sports. And there's some legacy agreements and I know you don't want to negotiate in the public forum. But I'm just trying to understand if you had better a level of playing field and more competitive sports, there probably would be new entrants, there might be some folks leading the ecosystem. When you start to think about it holistically, is that the way it plays out? Is in your mind, that's the best outcome for the sport and the monetization opportunity that follows? And then, for Greg, there is obviously these speculations about Sprints making some -- to Charter and Liberty seems to be more engaged than Charter Management. So the question really is, is there any philosophical differences and views between wireless as part of the strategy for a cable company longer term between the two companies? And just generally the long-term prospects on Liberty's mind on Charter.
Chase Carey: Okay. Well, I guess I'll answer the first 1, and then let Greg answer the second. I guess -- okay, I guess, as I said in the opening comments, I think we -- I think there's a lot we can do to -- realistically improve the competition, improve the action on the track. And at the same time, make it a much better business for really both us and the teams and a number of components. One of them is cost. I mean, right now, there are teams that simply spend amounts that don't realistically make sense and realistically the spending doesn't improve the value for fans. We've got engines that are too complicated and expensive. And therefore, it creates you wider difference in performance on the track. We still want the -- we want the cars to be unique. We want the cars to take advantage of the state-of-the-art technology. But we don't want to -- but we want to give you an edge. We want the competition on the track to be great. We can tackle these issues, like costs, costs, the engine, revenue distribution and things like aerodynamics when I hear the cars are not built for passing. We've got to pursue initiatives that passing is action. We've got to make it so that we create a more exciting and inter-dramatic sport in the track. I think all of those of things will, at the end of the day, both create a much better consumer experience. I mean, you want sports to be dramatic and have underdogs have a chance to win and have unexpected results. And I think we can create that, while still creating -- having each team have a unique car that is really at the pinnacle of motor sports. But at the same time, I think that will create a business model that, as you said, would both be -- and then, first and foremost, be beneficial to the existing teams in it. But I think it's a healthier business model. It would also entice new teams to get into it. I mean, today, when new people who are in the outside look in, in some way they look at the challenges of the sport, what the top teams are spending, and that's at a turn. And then, they look the competition on the track, we sort of ends up with a realistically about six cars competing at one level and the rest of the cars competing at a different level because the spending differences and the engine differences and the like. So if you enhance the competition and created a cost structures, it gave more predictably to the business, and it some ways, protected -- like costs gaps in the U.S. What they do is protect them from themselves. Competitive spirit overtakes, you just spend what it takes to win so create a structure that makes it how you spend your money, how much is spent and I think that will create, again, a better product for fans, and better model for existing partners and a much more interesting proposition. And then from potential new entrants, and we're obviously engaged with some these new entrants and it's pretty clear that the appeal of Formula One is unique. The benefits they get out of the identification with it, and if we can make it a better business -- a better sport for fans and a better business for everybody in it, I think it will raise -- it will benefit us all.
Mark Carleton: So the question on Charter and Sprint, I don't think there's a fundamental disagreement about the ultimate role of wireless and also where the wireless business is likely to ahead between the Liberty management team and the Charter management team. We are capitalists out here at Inglewood and also have a lot of capital. So it's something interesting to be done, we're always available. We remain very bullish on cable prospects. As I said in my opening remarks; I think the video market is going to have lots of transitions and see all of them are favorable to us. But the power of the broadband connection we have and the marketing prospects and the service opportunities that opens up I think are quite excellent and I remained, I think -- our whole management team remains bullish on the prospects with Charter.
Operator: Your next question comes from the line of John with Gabelli.
John Tinker: Just following up on Formula One; Ferrari have come out pretty publicly and said they don't want to be like NASCAR. Could you talk a little about the new deal you signed with ESPN ABC? And how do you see that helping, which obviously broadens your ability to promote and helps the kind of win on Sunday, sell on Monday approach, which -- how do you reconcile that with Ferrari? What are the kind of puts and takes?
Chase Carey: I mean we have a different view for Ferrari. I'm not trying to be derogatory towards NASCAR, but we don't try being NASCAR either. And I think what was meant by that is we don't want to standardize cars. I mean, we don't want sort of 20 identical cars going around the track and the only difference is the driver. What we want, Formula One is unique in competitive sport to state-of-the-art technology. We want all the teams to have the ability to create -- to do with -- they do to create cars that are unique to them, unique engines to them, give them unique bodies to them. But we want to make it a little bit, as I said a couple of minutes ago, we want to make it success be dependent more about how well you spend that -- how well you spend your resources within some constraints versus how much you spend and I think that's a healthier sport. And then, those can develop the technology and develop the capabilities better than others will enable them to succeed. But we want the cars to be unique. We want each team to have the ability to have a car that is unique to it. So I don't actually think we don't -- I don't really see it any differently. And certainly, in terms of win on Sunday, sell on Monday, reality, that's always going to be a part of it. And we want teams to compete to win. We want -- but we want all the teams have the chance. It's never going to be equal in each year. It's favorable to evolve but over time, we want the teams to feel they all have -- they all have the fighting chance. And you want, I mean, sports are built on the unexpected. So we do want a sport that can have the unexpected. And I think that benefit, I mean, realistically, if somebody wins every race every week, at the end of the day, the sports going to suffer. So I mean the sports are built on drama, uncertainty and unknowns. You need competition. You need the unknown, you need great finishes, you need great stories, you need great dramas. And it's we've got to create that. And I think that attracts more fans and that realistically benefits all the teams in this sport. And our -- first priority here is to take the sport much better for us and the existing teams in it. There are priorities and I think we do that. There are a lot of benefits that will fall out of it but you have to sort of -- and I understand an individual team wants to win every race but realistically from our perspective, what you want to make sure is you're creating a sport that has the -- has that basic appeal to consumers of great action, unexpected results and the uncertainty that comes with that -- that comes with the live sports.
John Tinker: If just to ask a follow-up to Greg; in your new role as Chairman of Pandora, what are your initial views? Because obviously the stocks' been drifting since the numbers came out a few days ago.
Greg Maffei: I think drifting is putting it generously, John.
John Tinker: Its English understatement, believe me.
Greg Maffei: Can I just add to one point, I think Chase [indiscernible] in the comments at Ferrari. I think you also -- there's an implied element, that of overexposure. And the NASCAR is looking -- heading towards north of -- up to 40 races alone in the U.S. There's no sense of exclusivity, no sense of uniqueness. And everything that we're trying to do, that Chase and his team is trying to do is to build on that exclusivity and build on that excitement. So I think form our line with the goals of some of the teams have expressed publicly than maybe they understand. But on the point about Pandora; look, I think we're pretty public about where we thought the prior management team was driving the business, is being an incorrect path. And you're seeing the results of that not less traction on the ad business than we would hope, less reinvestment into making the free-based, free product excitement that we would hope and less tractions on subscriptions than the prior management team were seeking. I think Roger Lynch and his team are very focused on improving the pre-experience, improving the ability for advertisers to self-serve, get on reinvesting in the ad tech of the product. And I think they're heading on the right path. Will there be challenges along the way? Undoubtedly. In our judgment, this business was allowed for too long to drift from its formation. But we fundamentally believe and put way too serious and the SiriusXM management team put forth an $80 million in the belief that could be fixed.
Operator: Your next question comes from the line of Dave Karnovsky with JPMorgan.
David Karnovsky: I have two questions on Formula One. First, I believe you have contracts up at the end of the season. If you have your large Europe markets, some of which haven't been renewed yet. Can you just update us on your thoughts on how you're thinking about balancing paid, free-to-air and digital if those contracts come off? And then, separately, would be year-over-year decline and payments in the quarter. Should we attribute that entirely to one fuel race? Or are there other factors to consider, such as a change in variable or fixed payout? Or something different on forecasting?
Mark Carleton: So on the first -- we are engaged. I mean, in -- and there's no rule of thumb is realistically, every market's different. And clearly, it's a balance. We value the reach of over the air. I mean, realistically over the air is probably a sector that, I think, is struggling a bit to compete. Certainly, pay -- in the pay side of it. I think business model is healthier. They're healthier with, the level of competition, that's going to be a big factor there. And we want to grow digital. Yes, we've got to navigate drivers through their conflicts between all of those or differing views with different players and the trade-offs really came out with specifics. But very important, ideally, we'd like to find the right balance across it but what that balance is in each market and what are the trade-offs of reach against money, against growth, I think it's fair to say that pay is probably the most lucrative short term for it gives you the most benefit in reach short term, which is clearly important as we're in this investment phase of the business. And digital is, I think, a big opportunity for us down the road. But digital is always going to require some sacrifice upfront to have the opportunity down the road. How you realistically that trade-off and now in each market is going to be different based on the players -- the players, the competitive dynamics and the likes. So yes, we are engaged in all of those fronts. And really, I think we're probably the one thing that I think it's true in all of this is we are focused on having -- on trying to have our deals, our agreements, albeit short, because I think we do believe we can take the sport. We're proud of the sport that we have. We think in the next couple of years, we can take it to a much better place, making the sport track better and making the events bigger and really creating a new sense of energy around it. So I think we would like to have the opportunity to take advantage of the things we will do. It's probably the one common element of it is probably trying to reasonably short-term deals to be able to take advantage of what we think we could do with the sport. And the sport I think really has been invested and marketed in recent years. What was the second question was which? What's the second part of it?
David Karnovsky: Just what contributed year-over-year decline in the....
Chase Carey: The variance; now, the variance part of it was there's a race and obviously we're making -- we're investing. And we're doing things that weren't done for marketing the sport. I mean we're adding capabilities that we didn't have before, whether it's we're going to say vocational capabilities. We are marketing the sport in ways we didn't before whether it's at events and cities or events at tracks or the expanded, as I said, will -- we'll continue to wrap it up but we're investing in the events or investing in the energized and the broader marketplace. We're building digital capabilities, we're building an organization that can support the sport, we haven't in the past -- we have no research, we have no marketing, we have no [indiscernible]. So as we do those things and take advantage of it, a lot of the things we're looking to, as I said, I think we have some opportunities to add some exciting events. There's that in particularly -- some of the most interesting events require leg work. It requires studies, they require us do things to properly make sure and into us, we want to make sure particularly when we're going into an event that event can be everything we can. It's not just a deal that we go in and go out that we want them we want to make sure it delivers on all of the things we hold. Really almost on every what I think maybe take a of I don't know, seven or eight areas of things we're doing probably every one of those areas has some degree of investment going into to build and deliver on those capabilities in varying amounts. But we are very much -- particularly, I think this year this year next year in really an investment phase to some degree at turnaround phase for the business given directionally where they're going to go on the last half dozen years.
Operator: Your next question comes from the line of Barton Crockett with B. Riley FBR.
Barton Crockett: I was curious about the comment that Chase made earlier that there's an opportunity for hundreds of millions of dollars of cost improvements for a Formula One business, it's now doing $500 million-ish or so of EBITDA. I think you were talking about the improvements that would fall maybe to the teams, maybe on what they spend on...
Chase Carey: Taking cost that -- yes, I mean. I was talking about cost that the team's bear. Obviously, particularly is disproportionate. But teams bear in putting a racecar on the track.
Barton Crockett: But is there an opportunity as you approach the agreement in 2022 leverage cost reductions and to improve terms with the teams? So maybe you could share some of the upside from the improved efficiency?
Chase Carey: In many ways, I think -- as I think about -- yes,, the sport as -- our biggest cost is what we paid the teams, which is indirectly tied to what does the team spend because obviously have their own business model sort of indirect cost of the business. And I think the teams that spend the most will generally agree with -- it doesn't make sense, they're spending it because that's what they've got to do to compete with couple of other guys not spending much. It is, to some degree, a productive themselves and try to bring, get to a place that makes it a great deal more sense I think if you could take that cost out of it. Our goal would be to figure out how do we restructure business so or everybody benefits. I mean, that's -- they're teams probably at the bottom that aren't as healthy I'd like them to be. The question before about having a business that is interesting and enticing to new entrants I'd like to get -- I think we'd like to get to that place. I think that making the business model healthier for teams and now our first priority is to make it healthy as healthy as it can be and valuable as it can be for our existing teams. I don't want to prioritize new teams over existing, but clearly, that's a secondary benefit, is making it more enticing to other teams to come in. And obviously, I think we'd look for everybody to share the benefits including us. But I think if we can make the structure, the sport healthier for everybody, it's sort of a good problem to have. How do you share the benefits of a much healthier construct. And realistically, what makes this opportunity unique is you probably ended with about -- not probably. You will end up with a better product from a fan perspective because you'll have more competitive race with more interesting action so you have this opportunity to create healthier business model that fits everybody. And look, clearly there will be how do those benefits gets shared. My goal would be that everybody comes out better. And -- but we'll deal with that in private with -- and with the players there. But I know it's a good problem to have, is how do you share the benefits of that at the same time that you're actually making the sport better for the fans, which is, at the end of the day, our objective number one.
Barton Crockett: Okay, that's helpful. And one separate question for Greg. I think there were some commentary about after and Liberty merged, maybe Liberty Media that maybe there's a Liberty Broadband combination at some point in the future that might make sense. I assume it's between this call the previous call is a that something. And you give us a sense of...
Chase Carey: There you forgot to mention broadband so you get the…
Barton Crockett: I had it slipped in there before you cut it me off but the question I have is how long would you have to wait before that can be completed without risking some tax consequences?
Greg Maffei: Well obviously, as I said in the prior call, we have no plan or intent. But the -- and that was largely depend on the overlap on the shareholders. If there were a sufficient overlap, it can be done more quickly. If there weren't, generally most people look at the year as a safe harbor for those kind of transactions.
Operator: Your next question comes from the line of Jeff Wlodarczak [ph].
Unidentified Analyst: We recently renewed with a number of important tracks, should we assume that F1 is getting on these deals is materially different than the old deals? And then by extension, part of the way you can create more passing opportunities is to make changes at the tracks. And how important is that? Who's going to bear that cost? And I have a follow-up.
Chase Carey: All right. I'll go comment on it I'm not going to comment to it specifically but I think we've generally have said that our big revenue buckets, the promoter fees are probably more mature than the others. So I think that probably -- was reflected in the renewals. I think in terms of creating -- investing and creating a bigger event around the track, I think it creates -- there is a cost to it, but there's revenue to it. I mean, realistically, one of the things you wanted is to engage a whole new generation of its sponsors that want to create events that are exciting and interesting for fans that enable them to engage with fans. I talked Heineken most recently is an example of one who created Heineken Villages, that they're investing real resources in. It's great for them to engage a whole 100,000 fans at the track or to some you put in a city center. And for them and they'll invest in the money because it helps them engage in a different way than just putting signage on a track. And -- but that's a much better experience for fans. You so we got a lot of different players that would like to figure out how to take advantage of the energy and the crowd and the excitement whether it's in a city center or whether it's at a track of the energy that comes around this. So for us, I think, there is a cost to it, but I think you can pay more than by taking advantage of the energy that comes with the event. And the players who want to take advantage of that.
Unidentified Analyst: And then, it seems like you're moving the spending caps inevitably. How comfortable do you feel sort of initially about being able to re-illustrate, sort of in force those spending caps?
Chase Carey: Again, I don't want to get before into -- as I said, negotiating public. What I would say is, we've obviously gone all of this. I think directionally, there is -- there's broad agreement of the direction you're talking about. I think we obviously have to get to the specifics and I'm sure that will clearly be -- in the details but we have differing views. Our job is to not maybe on the details as so as to find the right compromises that everybody feels they're much better off, it's a fair proposal. And it makes work much healthier. And that's what we got to do, is work through defined the right compromise with the trade-offs. But as a direction, I think we have broad-based support for the direction of all the initiatives we're talking about, the goals for those initiatives and the opportunity inherent in those initiatives. So we just need to, now, execution is always critical in this. We need to be able to work through the details, find the right compromise is that everybody feels is a fair and everybody's better off.
Operator: Your final question comes from the line of Brandon from BTIG.
Brandon Ross: Just for Chase, just a follow-up on David's question of the Formula One TV licensing deals. I know digital may not be the right route for you right now, but wondering kind of what you've seen in terms of digital platforms appetites to compete dollar-for-dollar with pay TV for those rights? And then, just...
Chase Carey: For the core rights, you mean?
Brandon Ross: Yes.
Chase Carey: Compete more as license, not as an over-the-top product, which obviously direct-to-consumer?
Brandon Ross: Correct.
Chase Carey: We've obviously we were talking to all of them. I mean, I actually -- I think you're pretty close. I think probably you're a step early still. So look you see around the world, they are bidding on core rights. And I think they recognized in this content, in reality, isn't a real sweet spot for them because creating scripted entertainment is a complicated in an uncertain world. I mean here, you're buying unique hit content, you know what you're getting. There aren't -- it's not going to be fragmented, there is not going to be other Formula One. You got the unique fan base to it. They're clearly going into the content world, but I think they're probably still a step short of really taking on the core rights. And for us realistically right now, the probably is also -- we have to wrestle with the lead with really putting core -- the heart of your content on a digital player holistically But we will. Do -- in the short term, we'll be doing more with the big digital players. So we're certainly engaging on lot of is creating product that sort of take advantage of the sport. But isn't necessarily the core live phrase, which would probably, in the short term, still reside on some form of traditional pay and free. But they do really feel like, as you talked to them, cost. But as they say, they want to engage -- words or words of easy getting [indiscernible] as a starter. But they got capacity with the right tracks. And what they all say is, they want to engage in this and it's where they're headed. And the logic would say that's right. As they build out and it's all about video content and you want differentiated unique video content. And I think we really are right at the core of the sweet spot. In this and I think in the next couple of years as they start to ramp up and become a bigger players. And I think you are seeing that in other big sports when talks about what these platforms mean to them as you look out to say look at the couple of years. I think these unique event sports are really going to be uniquely important place as they try and build up those audiences.
Brandon Ross: And Greg, as you listen to Chase's response there and hear about the appetite from the digital players, does that give you any concern for Charter in the longer term?
Greg Maffei: I think I mentioned on our earlier but I think the video market is evolving and there will be changes. But we remain quite bullish on Charter, given the power of the broadband connection. And its ability aggregate and still profit and be an exciting player in the video market even as the bundle molds. I think we're done with our question. Thank you all for your interest in Liberty. As I said, will see many of you in New York. And if not, for those without get to see, we'll hopefully get to speak with you next quarter on our earnings call.
Chase Carey: Thanks a lot, guys.